Operator: Welcome to the Giga-tronics third quarter earnings conference call. My name is Victoria, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode and later we'll conduct a question-and-answer session. Please note that this conference is being recorded. And I'll now turn the call over to Temi Oduozor. Temi, you may begin.
Temi Oduozor: Thank you, Victoria. Hello, everyone, and thanks for joining our quarterly earnings call. I'm Temi Oduozor, and I am joined today by our co-CEOs, John Regazzi. Before we begin, I need to remind everyone that this conference call contains forward-looking statements concerning operating performance, future orders, long-term growth and shipments. Actual results may differ significantly due to risks and uncertainties such as delays with manufacturing and orders for our new ASG, receipt of timing for future orders, cancellation or deferrals of existing orders, the company's potential need for additional financing, uncertainty as to the company's ability to continue as a going concern, the volatility in the stock market and the price of our common stock and general market conditions. For further discussion, see our most recent annual report on Form 10-K for the fiscal year ended March 25, 2017, Part I, under the heading Risk Factors and Part II, under the heading Management Discussion and Analysis of Financial Conditions and Results of Operations. With those reminders in place, I would now pass the call on over to John. John?
John Regazzi: Thank you, Temi. Good afternoon, and thank you for joining our quarterly earnings conference call. Today, the company is reporting net sales of $3.2 million for it's fiscal third quarter ended December 30, 2017, which is comparable to the prior fiscal year period ended December 24, 2016. Although revenue was the same, sales from our Giga-tronics division increased by $1.1 million over the comparable prior year period, primarily due to the fulfillment of a $1.7 million Navy advanced signal generator order. This increase was entirely offset by a $1.1 million decrease from our Microsource business unit due to the winding down of nonrecurring engineering services as well as lower product revenues as we fill the remaining portion of the 4.5 million YIG RADAR filter order in the second quarter of fiscal '18. Net sales for the nine-month period ending December 30, 2017 were $7.5 million, a decrease of about 32% compared to $11 million reported for the nine-month period ended December 24, 2016. The decrease in net sales for the nine-month period was primarily due to lower sales associated with the company's legacy products as well as the winding down of engineering services from our Microsource division along with the delay in receipt of the next production order of YIG RADAR filters for the F-15 aircraft, which we've subsequently received in September of 2017. As previously announced this new order of YIG RADAR filters is expected to start shipping during the fourth quarter of fiscal '18. Backlog as of December 30, 2017 was $11.8 million and comprised almost entirely of orders for our Microsource YIG filters products and related services. Net loss for the third quarter of fiscal '18 was $313,000 or $0.03 per fully diluted common share compared to a net loss of $575,000 or $0.06 per diluted common share for the comparable prior fiscal year period. The decrease in net loss for the third quarter of fiscal '18 compared to the same period a year ago was primarily due to lower expenses in fiscal '18 as well as the net gain of $324,000 associated with the divestiture of a legacy product line completed in October of 2018. The net gain of $324,000 was released from deferred liability now that our dispute with Spanawave has been settled. This was offset by a $431,000 non-cash charge associated with the amortization of capitalized software development costs. Net loss for the nine-month period ended December 30, 2017 was $2.7 million or $0.27 per fully diluted common share compared to a net loss of $1.1 million or $0.11 per diluted common share for the nine-month period ended December 24, 2016. The increase in net loss for the nine-month period was primarily due to the lower net sales in the nine-month period of fiscal '18 associated with the divestiture of our legacy businesses, the winding down of engineering services from the Microsource division and the delay in the receipt of the F-15 YIG RADAR filters. Also contributing to the increase in net loss over the two periods was the $802,000 gain associated with the sale of the Switch product line recorded in the first quarter of fiscal '17 compared to the $324,000 net gain in the third quarter of fiscal '18 associated with the product line sale to Spanawave, as well as the increased amortization of capitalized software of $733,000 in fiscal '18 versus $34,000 in fiscal '17. Several years ago, the company began capitalizing the software expense associated with the partnership between Giga-tronics and a major defense prime contractor to develop our Real-Time Threat Emulation System. This expense was to be amortized over time against shipments of the Real-Time Threat Emulation System. However, as previously acknowledged, the larger average selling prices of this solution have led to greater variability and quarter-to-quarter bookings. Between the fourth quarter of fiscal '17 and the first quarter of fiscal '18, the company did not book any new advanced signal generator-related orders, which led to our decision to shorten the amortization period. We wrote down all of the remaining capitalized software in the current quarter upon fulfillment of the Navy $1.7 million shipment in the current quarter. This non-cash accounting charge negatively impacted our cost of goods sold and hides the fact that we have narrowed our losses substantially and that our operating results for the third quarter of fiscal '18 is cash flow positive on only $3.2 million in revenue. In the first half of fiscal '18, the company used more than $1.7 million in cash due to losses generated in operations. In the third quarter, the company generated $300,000 positive cash in the third quarter. The improvement in operating results over the last three quarters is due to the effect of our cost-cutting measures on our bottom line. We've mentioned some of these changes in the past, such as our relocation to a smaller sized facility in Dublin, California and the rightsizing of headcount relative to our current business levels. We have also improved our margins for the Advanced Signal Generator product line as we move along the learning curve in operations. We continue to conserve our cash resources as we await anticipated large orders for the Advanced Signal Generator products and additional contracts for YIG filters. With regard to our forecast for the fourth quarter of fiscal '18, the lower revenue projection is due to our not yet receiving a large order for an advanced Navy Threat Emulation System, which we originally anticipated receiving in January. These systems take between 8 and 10 weeks to deliver and thus it is unlikely the company can recognize any revenue even if we receive an order in early March. However, we anticipate revenue in the first quarter of fiscal '19, will improve substantially over the fourth quarter of fiscal '18 as our pipeline of Advanced Signal Generator business converts into bookings. We also anticipate the significant backlog we have for YIG radar filters will combine with the improved ASG bookings in the first half of fiscal '19 to help return us to profitability. With that, I'd like to open the call for questions.
Operator: [Operator instructions] And I am showing, we have no questions.
 :
 :
John Regazzi: Okay. Well, with that, I would like to thank all of you for your continued interest and support for Giga-tronics. Have a good afternoon.